Operator: Greetings and welcome to the CVR Energy Second Quarter 2012 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jay Finks, Director of Finance. Thank you, Mr. Finks. You may begin.
Jay Finks: Thank you, Latonya, good afternoon. We very much appreciate you joining us this afternoon for our CVR Energy second quarter 2012 earnings call. With me are Jack Lipinski, our Chief Executive Officer; Frank Pici, our Chief Financial Officer; and Stan Riemann, our Chief Operating Officer. Prior to discussing our 2012 second quarter results, let me remind you that this conference call may contain forward-looking statements, as that term is defined under federal securities law. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, the words, believes, anticipates, plans and expects and other similar expressions are intended to identify forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2012 second quarter earnings release that we filed with the SEC yesterday, after the close of the market. With that said, I’ll turn the call over to Jack Lipinski, our Chief Executive Officer. Jack?
Jack Lipinski: Thank you, Jay. Good afternoon, everyone, and thanks for joining our second quarter call. First, I’ll provide a brief recap of our financial results and then I’ll talk a little bit about our operational results. Frank will then provide more detailed color around the numbers we reported yesterday, and I’ll finish with some closing remarks. In the second quarter, consolidated net income was $154.7 million or $1.75 per fully dilutive share. On an adjusted basis, adjusted net income was $223.1 million or $2.52 per fully diluted shares. Like prior quarters, we adjust net income for the impact of FIFO First In First Out accounting major turnaround expenses, the impact of unrealized derivative gains or losses and other onetime expenses. Frank will discuss more broadly the adjustments to net income in his prepared remarks. Some of the primary drivers of our earnings were strong crack spreads or access to price advantage crudes, high operating throughputs that are refineries and strong business fundamentals that driver our fertilizer segment. In the second quarter, than NYMEX 2-1-1 crack spread averaged $29.27 per barrel with the Brent-WTI spread averaging just over $15 a barrel for the quarter. As a result, our overall realized refining margin adjusted for FIFO came in at $27.07 per barrel as compared to $25.90 per barrel in the same quarter last year. Let me talk a little bit about our petroleum business. Within this segment, we processed more than 190,000 barrels a day of crude in the second quarter. That was just little over 121,000 barrels a day at Carl Icahn and just little over 69,000 barrels a day at Wynnewood. On our last call, I had provided some estimates for throughput to the quarter and I’m really happy to report that we came in above the high end of those estimates at Coffeyville and just below the top markets those numbers at Wynnewood. Actually during the month of June, Coffeyville set a new record by processing 125,900 barrels a day of crude to the month. We attribute these high processing rates at Coffeyville to the completion of the successful turnaround in March and the continued efforts on the part of our operating and technical staff. Looking ahead to the third quarter, we are currently running about 124,000 barrels a day at Coffeyville and just over 70,000 barrels a day at Wynnewood. Aside from a plant turnaround, which is going kind of begin in late September at Wynnewood, we have no other major maintenance expected for the quarter. And by the way on that point, we would expect to start bringing Wynnewood down for its turnaround during the last week of September. We estimate the total crude throughputs for the plants to be in the same range as I had estimated last quarter, range of 179,000 barrels a day to 188,000 barrels a day in total. And that would be about 113,000 to 118,000 at Coffeyville and 66% to 70% at Wynnewood. I’d like to take time to remind you that during the turnaround at Wynnewood, we will be down for approximately 45 days. Our new estimates for the time for this turnaround is approximately 45 days and we expect to incur approximately $100 million in expense. This is a higher number than we had estimated in the past, but because we’ve been within inside the tent now for about six months, we see opportunity to do additional maintenance work at the refinery while it’s down, which will help us with reliability and throughput as we go forward over the next four years. Like most midcontinent refiners, we continue to benefit from attractively priced crudes. You all know that we have access to Canadian crudes through our Keystone and Spearhead connections with the acquisition of Gary-Williams Energy and the Wynnewood Refinery we actually picked up pipeline space about 40,000 barrels a day that now gives us access to the Permian Basin and basically Midland WTI and WTS directly. So it’s been an interesting run this past quarter as Midland crudes became discounted, we were able to take advantage of that and using our Spearhead line we were able to bring in price advantage crudes into Wynnewood. As part of all the overall synergies we’ve been working towards, we’re pretty happy with where we’re heading. On July 10th of this year CVR Energy and the Union representing approximately 65% of our employees at Wynnewood agreed to a new three-year collective bargaining agreement which is now set to expire in June of 2015. We continue to grow our gathering system, during the quarter we gathered approximately 46,000 barrels a day, and that’s a year-over-year increase of about 30%. Talking a little bit about Fertilizer, last week CVR partners declared a second quarter distribution of $0.60 per common unit. Recall that we own approximately 70% of all the common units therefore CVR Energy will receive a proportional amount of that distribution. We continue to see good opportunities and demand for nitrogen fertilizer. The recent increases in corn price brought about by this year’s drought condition, that’s created an environment that should support strong fertilizer demand going forward. At this point, let me turn the call over to Frank and let him talk about the financials. Then I’ll come back with some closing remarks and then we’ll take your questions. Frank?
Frank Pici: Thanks Jack and thanks everybody for – to call us afternoon. A few things regarding net income as Jack mentioned, our net income was almost $155 million, $1.75 per diluted share. If you convert that to an adjusted net income, and I’ll give you the main components, that number changes $223 million or $2.52 a share and that number compares with $1.44 in the second quarter of 2011. The main adjustments to get to that adjusted net income where, we had a back and unfavorable FIFO adjustment FIFO inventory adjustment of almost $64 million or $0.72 a share, these are all after-tax numbers by the way. We had an unrealized hedging gain that we backed out of a little over $28 million or $0.32 a share. We had a share-based compensation adjustment, accrual adjustment of about $29 million that we’ve added back or $0.32 a share and a few other smaller items, but those are the primary items it get you from our reported net income to the adjusted net income numbers and that I think it’s much more representative on an adjusted basis for comparability purposes. If you take a look at our couple of our key performance indicators, our realized refining margin adjusted for FIFO again for the second quarter was $27.07, that’s for our combined refining operations both the plants. If you look at it on a per refinery basis, our Wynnewood margin again excluding FIFO was $25.23 a barrel and at Coffeyville that number was $28.02 a barrel. So again very strong refining margins. Looking at direct operating expenses at Wynnewood, we show that $4.30 per barrel direct operating expense and if you exclude what is now some minor turnaround expenses, that number drops to $4.06. At the Coffeyville refinery, the direct operating expenses are a little over $4, $4.03 a barrel excluding turnaround it drops about $3.94 a barrel. Looking at corporate, our corporate expenses or G&A for the quarter was $72 million versus $18 million in the second quarter of 2011. The two main components to that increase were share-based compensation again, which increased subsequent to our settlement or ownership change with the Icon group. And also some defense related costs that were accrued in the quarter. So that’s a primary onus for the increase. If you look at, we normally make a statement about our hedging, for our realized hedging losses for the quarter were $8.1 million. If you look at than on a per barrel of throughput basis that’s about $0.44 a barrel of decreased realization. And going forward for the second half of this year we’ve got about 8 million barrels hedged with a frac spread averaged frac spread of $22.44 a barrel. And in 2013 that number drops further little over 5.5 million barrels hedged at $23.96 a barrel. So our hedging positions are much lower as we go through time at this point. If we take a minute and talk about CVR Partners, they continue to perform very well. They had adjusted EBITDA of $44 million, very close to the same quarter from last year. They also announced a $0.60 distribution per unit to be paid August 14 and they reaffirmed their annual distribution guidance at $1.65 to $1.85 per unit and that number includes the negative impact of about $0.25 because they’ll have a turnaround in the fourth quarter as well. So that’s with that impact factored in. Taking a look at capital spending, for the second quarter of 2012, excuse me for year-to-date 2012, we spent a total of $105.2 million, little over $62 million of that is in the petroleum segment including $46.4 million for sustaining maintenance capital and $16 million for discretionary projects primarily related to the Cushing tank form expansion that was completed in the first quarter. In the Fertilizer segment that the CapEx number to date is little over $39 million with the majority of that being about $37.6 million related to UAN expansion there. And looking at the full year for capital expenditures, we’re still looking at a total of somewhere between $315 million including $195 million to $200 million in the Petroleum segment. That’s basically split evenly between the Coffeyville and Wynnewood refineries and another $30 million that includes for other projects including that Cushing expansion I mentioned a minute ago. On the Fertilizer segment, we’d expect that CapEx to be in the range of $100 million to $110 million again with the UAN expansion being the primary driver for that number. I guess the last thing I’d mentioned would be the cash and debt position of the company and again continues to be very strong, we had a total cash position, consolidated cash at the end of second quarter of $693 million, that was up from $388 million at year-end 2011. Our debt levels remained about flat between those two periods at about $852 million. So you can see our net debt position went down, our liquidity continues to be a very strong increase as we’ve gone through the year. With that Jack, so I’ll turn it back to you.
Jack Lipinski: All right. Thank you, Frank. As you can imagine, we are pretty happy with our second quarter results. We continue to see strong crack spreads going into this quarter. Our operations continue at almost record levels at both plants. So we’re looking forward to a good third quarter as well. Couple of other items on July 26, the company announced the end of a 60 day sale process, which actually ended on July 23 whereby Icon and its affiliates were required under the agreement to, for them to tender for the company to go through a sale process. That sale process concluded without a bona fide offer, so as Carl had indicated, his intent is to continue to run the company. We’ve had a pretty good run here. We’re very happy with Wynnewood. Wynnewood is – we still feel a lot of low hanging fruit. There’s a very high expectation in the company that they are going to be bigger and better things us we fully integrate Wynnewood into our system. And again as always all our achievements couldn’t have been done without the hard work and dedication of all our employees and I’d like to take just a special word of thanks to Frank. Frank is going to be leaving us here. He has done a remarkable job for us. I thank him and so does everybody else on the team and wish him the best. Susan Ball will be coming on as our Chief Financial Officer when Frank leaves. So Frank, thank you very much. And operator, with that I’ll take any questions you have.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from Jeff Peter with Siemens. Please proceed with your question.
Jeff Peter: It’s Jeff Peter with Siemens & Company. Jack congratulations on a very strong operating quarter I think it’s especially impressive given the distractions that had gone on in the first half of the year but really outstanding performance. I know you’ve grown the business and expanded Coffeyville overtime and growth has been a big piece of your strategy in addition to strong operations. I just wanted to get a feel for where you are now as far as looking forward obvious focus on operations but what are your thoughts on capital projects as well?
Jack Lipinski: Well, we’re not going to get out of our skies on big capital projects. I’ll give you some forward view and this is Jack’s view of the world. On a go forward basis you, the company you should expect the company to have across those refineries and it’s transportation and gathering businesses somewhere in the range of $75 million a year or so of sustaining capital, maintenance capital. We will have something because of Tier 3 gasoline, benzene reduction and all the other environmental, something on the order of $40 million or $50 million a year of environmental capital. So round numbers, we’re looking $125 million, $135 million a year of fix capital. Beyond that, every year at Coffeyville, we have found opportunity upon opportunity to do high rate of return projects and I’m talking thresholds of 30% or 35% IRRs. We’re starting to see that at Wynnewood as well, one of the reasons we increased the amount of cash allocated to the turnaround was we saw a lot of opportunities to do maintenance work which will actually improve the operations. At Wynnewood, one of our projects that we will look at going forward on is, when we acquired Wynnewood it had a hydro cracker, which was being operated as a hydro treater. We do need additional hydrogen and some additional capital to covert the unit back to its original configuration. And we would expect that project be somewhere in the range of $45 million to $50 million all in, but it has an exceptional rate of return. So you know, you might see us moving ahead with doing something like that, but you’re not going to see us doing major CapEx like we did at Coffeyville. And if you take a look over the last seven years, between the capital projects and sustaining capital and the like, we’ve put in well over $700 million into Coffeyville. And it’s showing up in its results, we don’t expect anything like that at Wynnewood. I don’t know if that answers your question, but...
Jeff Peter: Yeah, that’s great, Jack. Could you talk about your hedging strategy or are you anticipating putting additional hedges on or what’s your strategy there?
Jack Lipinski: Well, right now we do look at putting hedging – hedges on opportunistically, we put a larger than usual number of hedges on with the Wynnewood acquisition, because at the time the Board did want us to put those hedges on. Right now we’re seeing somewhat of a unique phenomena where the cracks keep rolling up to you, but they are severely backward dated. And I mean the cracks today at NYMEX 2-1-1 is approaching $32 on top of very substantial group bases I mean in the last few days because of refinery problems in Chicago and I guess now at Tulsa. We are starting to see pretty rapid changes in that basis to our favor. When you have these kind of severely backward dated situations we are very cautious about hedging, it’s been rolling up to us and we do a one-off, there is no such strategy, but if we see an aberration in the market where we think we could lock something in and we’ll obviously go ahead and do it.
Jeff Peter: Thanks for your comments Chuck.
Jack Lipinski: Thank you Jeff.
Operator: Our next question comes from Chi Chow with Macquarie Bank. Please proceed with your question.
Jack Lipinski: Hey, Chi, how are you? Hello.
Operator: Chi, your line is live.
Chi Chow: Hi, can you hear me?
Jack Lipinski: I am having trouble hearing you Chi.
Chi Chow: Got any better?
Jack Lipinski: Much better.
Chi Chow: Okay, sorry about that. You talked a little about Wynnewood on the timing of the hydro crack conversion. Can you say anything about the timing of that potential project? And also what sort of other operational crude slate changes you might have made at the plant versus how the prior owners operated it.
Jack Lipinski: Okay. What we’re looking at is, this is hydro cracker project obviously need some permitting, but it probably be like a 2014 type of project. Take a little wall of permit and then build out the plant, it doesn’t require a lot of a big hydrogen plant rather small, but there’s some work. So over the next 18 months to two years we expect to have that and we’re doing many, many changes at the plant. This plant did not have a big technical staff, it was fairly and least staffed and they did a remarkable job with what they had and what we’re finding is by bringing in our people from Coffeyville and other areas, just applying the technical expertise we’re finding we’re overturning rocks and just finding money everywhere we turn around. You could see it in the crude rate, we never – we bought this facility believing we would run it at 63,000 barrels a day and if we were lucky we get to 66,000 and here we are over 70,000 already and that’s just application of technical expertise. As far as the crudes, Wynnewood and it’s – because of its prior owners and really a lack of ability to bring Canadian crudes or even Bakken crudes directly to the plant, some was pretty limited to what it could rock. What we’re doing right now is, we have about 18,000 barrels a day of shipper space on Spearhead. We have 10,000 of contract space to right now about 18,000 shipper space. And we’re bringing Canadian crudes LSPs and other crudes down to Wynnewood along with bringing in the Permian Basin crudes, which has taken Wynnewood from a plant that typically delivered its crude even though some of that was sour at $0.40 to $0.50 over WTI to something like $2.00 under WTI today. Now, the Midland crudes have tight increase of late, but, what we look forward to is having a permanent discount there just by the way we’re buying crudes, and accessing crudes. And don’t forget we have 4 million barrels of storage in Cushing, we can access all sorts of Canadian grades, we can swing crudes between the refineries. So, basically what we’ve been able to do is just reduce the cost of crude acquisition without changing the quality very much as an input to Wynnewood.
Chi Chow: Wow, that’s great. Thanks for all that details. Shouldn’t assume anything like things are working well happen plan, I guess on the Canadian crudes, I think you mentioned in the last call that you’ve seen Gulf Coast refiners trying to compete for the Canadian heavy barrels at Cushing, is that still the case and has that activity from the Gulf Coast players ramped up at all?
Jack Lipinski: Well, all we know now is last, when we talk about last time, it’s basically that the only thing that’s going down Seaway are light crudes right now. And there was a bunch of heavy crude put into Cushing with the anticipation it would come out and then Seaway came up light, not heavy. So, I understand that they’re working on that right now and over time and with the Seaway expansion I would expect to see more Canadians finding its way down that way.
Chi Chow: Okay, great. And then one final question on your expenses, that’s a question to you, Frank, any further costs here in the third quarter associated with the proxy matters, or the Wynnewood acquisition, that’s flown through in 2Q?
Frank Pici: There may be a little bit of cost on the Wynnewood acquisition, but there shouldn’t be anything of any significance on the proxy matter at this point.
Chi Chow: Okay.
Frank Pici: In Q2, we’re flowing into Q3.
Chi Chow: Flowing into Q3 right?
Frank Pici: Yeah.
Chi Chow: Okay, great. Okay, thanks, appreciate it.
Operator: (Operator Instructions) Our next question comes from Ed Westlake with Credit Suisse. Please proceed with your question.
Rakesh Advani: Hi, actually this is Rakesh Advani. Just a quick question on I guess your cash flow that you’re generating (inaudible) putting a lot into your CapEx projects to a large extent. What do you exactly plan to do with all that extra cash?
Jack Lipinski: Well now that the 60-day sale period is over and it’s just very recent we’ve been going through this. This can’t be a point of discussion with our new shareholders.
Rakesh Advani: Okay. And I guess same discussion will be about how to deal with like the minority shareholders also?
Jack Lipinski: I mean we’re fully public company. If there was any obviously, if there was a distribution today, it has to be pro rata.
Rakesh Advani: Okay. And would the discussion I guess of looking into converting your assets same to MLP structure with that something you could make a comment on?
Jack Lipinski: I mean there is – we saw that northern Tier went out and Kelly met had been out there before, but it’s not escape since UAN or CVR partners. This is the first true variable distribution MLP that had GP with no IDR as we would guys have invented this one. Obviously if it made some sense, we would take a look at it. We’re very interested in seeing where NTR falls out those are trading in a fairly high yield, but money talks. So not saying we are going to do it, but certainly we’d be foolish down to look at.
Rakesh Advani: Okay. Thank you.
Jack Lipinski: Thanks.
Operator: (Operator Instructions) There are no further questions in queue at this time. I would like to turn the call back over to management for closing comments.
Jack Lipinski: All right. Well again, thank you everyone for joining us. It’s the continuation of the CVR Energy saga. It’s little over seven years since we’ve been associated with the company and its kept us interested and still keeps us interested and it’s a great asset and great set of people that work with, so I – great set of investors. So, I thank you all for joining us and you have a good day. Thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation.